Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Brooks Automation Q4 and Fiscal Year 2015 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Thursday, November 5, 2015. 
 I would now like to turn the conference over to Lindon Robertson, Vice President and Chief Financial Officer. Please go ahead, sir. 
Lindon Robertson: Thank you, Cersei, and good afternoon, everyone. We would like to welcome each of you to the fourth quarter financial results conference call for the Brooks fiscal year 2015. We will be covering the results of the fourth quarter ended on September 30, and then we will provide an outlook for the first fiscal quarter ending December 31st of this year. 
 A press release was issued after the close of the markets today and is available at our Investor Relations page of our website, www.brooks.com, as are the illustrated PowerPoint slides that will be used during the prepared comments during the call. 
 I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor Statement, the Safe Harbor slide on the aforementioned PowerPoint presentation on our website and our various filings with the SEC, including the Form 10-K for the fiscal year ended September 30, 2015. 
 We make no obligation to update these statements should future financial data or events occur that differ from the forward-looking statements presented today. I would also like to note that we may make reference to a number of non-GAAP financial measures, which are used in addition to and in conjunction with results presented in accordance with GAAP. We believe that these non-GAAP measures provide an additional way of viewing aspects of our operations and performance, but when considered with GAAP financial results and the reconciliation of GAAP measures, they provide an even more complete understanding of the Brooks business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. 
 On the call with me today is our Chief Executive Officer, Steve Schwartz. We will open with his remarks on the business environment and the highlights of the fiscal period. Then we will provide an overview of the fourth quarter financial results and a summary of our financial outlook for the quarter ended December 31, which is our first quarter of the coming fiscal year 2016. We will then take your questions. 
 During our prepared remarks, we will, from time to time, make reference to the slides I mentioned available to everyone on the Investor Relations page of our Brooks website. 
 With that, I'd like to turn the call over now to our CEO, Mr. Steve Schwartz. 
Stephen Schwartz: Thank you, Lindon. Good afternoon, everyone, and thank you for joining our call. We're pleased to have the opportunity to report the results of the fourth quarter and the full year of our fiscal 2015. 
 Q4 was an excellent quarter for Brooks that kept a very strong 2015 fiscal year. On essentially flat quarter-on-quarter revenue, we increased gross margin by 90 basis points and non-GAAP earnings per share by 10%. As you've heard from other companies, especially those of us with significant presence in the Front End Semi equipment space, late in the September quarter, we began to head into a slow period. However, the performance we were able to demonstrate in September gives us confidence that we are positioned with the market-leading and next-generation products to capitalize on the next upward movement in the market. 
 As we recap the fiscal year, we're proud of our 14% year-over-year revenue growth, 76% increase in non-GAAP earnings per share, increases in market share across our businesses and the acceptance of new products that we've launched that will increase our market share in the coming years. With a downturn in the semiconductor business looming, we're still excited about our strong position for many reasons. We're qualified at the 10-nanometer device node at each of our current customers who have developed 10-nanometer products. We once again grew market share in the Semi Front End and we plan to do so again in 2016. We are building our position in advanced packaging with a strong base of customers and product offerings. And once again, we turned the crank on gross margin improvements and we have initiatives in place that will allow us to continue to improve. 
 Additionally, when Life Sciences gross margins lift during fiscal 2016, our gains will be compounded. We have our broadest product offering ever, serving memory, logic, foundry and the back-end, and we've expanded our customer base so that in our fourth quarter, more than 55% of our semiconductor revenue was directly from end users. This position ensures that we'll benefit from the pick-up in any segment of the semiconductor business. 
 In our Life Sciences business, we completed a major restructuring that leaves us with a much smaller footprint and concentrated centers of excellence, which makes us much more efficient and effective. We gained share and enhanced our market position in 2015, and we launched a new and innovative family of products to address a new market segment for ultra-low temperature sample management. 
 This year, we've also had very strong performance from our 2 most recent acquisitions. DMS in the semi space and FluidX in Life Sciences each grew by 30% in their first full year as part of Brooks, and both were accretive to our earnings and ahead of our expectations. We also announced today our agreement to acquire BioStorage Technologies, a market-leading biological sample management company that fits perfectly into our Life Sciences cold-chain road map. BioStorage Technologies will drive significant growth for us in the coming years. I'll say more about BioStorage in a moment, but first, I'll recap results from our semiconductor business. 
 In semiconductor, we continue to benefit from the strength and breadth of our product portfolio. Our BPS product revenue, which represents our semi products for automation and cryogenic pumps, was $104 million, up 32% from the same quarter 1 year ago. I remind you that we acquired DMS in the June quarter of 2014, so the year-over-year comparison to September BPS revenue is completely attributable to organic growth. Contributions to this tremendous growth were shared across our product lines and are the result of sustained market share growth. 
 In Automation, we remain the beneficiaries of the significant growth in deposition and etch, which are both vacuum processes. We have extremely high share in vacuum robotics, and we're growing our vacuum systems business with new OEM customers. Despite some slowing of delivery requirements late in the quarter from some of our larger OEM customers, our vacuum automation products revenue was still up 13% year-over-year. 
 We continue to gain share, both from new design wins from Tier 1 OEMs and through conversion of their legacy internal automation designs to ours. Additionally, due to the continued consolidation of the entire semiconductor supply chain, as size and scale matter more than ever, a significant part of our share gains are also coming at the expense of smaller automation companies who just do not have the ability to invest to keep up with customer technology needs. 
 We had a very strong quarter in our Contamination Control Solutions business as product revenue jumped 50% in the quarter to almost $17 million, propelled by installations for 16-nanometer and 10-nanometer device lines. Taking into account DMS' revenue as a stand-alone company before our acquisition, full year revenue grew more than 30% in fiscal 2015 as the need for automated FOUP cleaners and the new generation of radical storage systems are becoming requirements for sub-20-nanometer device nodes. 
 We expanded the customer base for FOUP cleaners as more device makers are pushing designs to 20-nanometer and below, and the frequency of FOUP cleaning is more critical. The $44 million in CCS revenue for fiscal 2015 exceeded our target of $40 million. 
 In the quarter, we also announced the acquisition of Contact, a Japanese maker of FOUP cleaners. Contact brings us a complementary FOUP cleaner product that is at a price and performance point that fills the gap in our CCS product portfolio. They bring to us sales talent with deep customer relationships, excellent technology expertise and a large installed base of systems. We're in the process of integrating Contact at this time. This includes moving their products to the same contract manufacturer who makes other CCS products for us. 
 Our cryogenic vacuum pump and cryochiller business was strong in fiscal 2015, increasing by approximately 9% year-over-year. Cryo pumps were up 25% and offset by a decrease in the Polycold business, which has lagged due to a slowdown in the rate of smartphone manufacturing needs. Automation for advanced packaging applications was down approximately 14% from June, but still was our second highest quarter for this segment. We have built a significant customer base and we will benefit from growth in this segment, which is now running at approximately $30 million to $35 million per year, annualized revenue. 
 Overall, we're extremely pleased by the strength of our BPS product performance as we gain share and increase profitability, and we believe we're in a position to maintain this positive momentum in 2016 as a net gainer in any market environment. 
 In our Life Sciences business, we continue to have much activity and we're bullish that all of the actions that we've taken in the past year have set us up for a strong 2016. As we've outlined for you on past calls, we've undertaken a significant restructuring of the Life Sciences business to both consolidate our operations, but also to concentrate centers of excellence around the different segments of our business. In the quarter, we concluded the closure of our site in Poway, California and significantly reduced our presence in Spokane, Washington. We have located all of our large stores' activity in Manchester, U.K., and we've transferred our large stores' manufacturing to a contract manufacturer. This has required a lot of heavy lifting, but the result is a more concentrated and focused organization and a cost structure that takes approximately $6 million per year from the P&L beginning in this December quarter. 
 Additionally, these moves enable us to move more quickly to respond to customers and to take advantage of our core skills without maintaining manufacturing infrastructure for a lumpy business. 
 Revenue for Q4 was up slightly to $17 million to about where we had planned. Gross margin dropped to 28% for the quarter, largely due to the onetime events tied with our facility closures and the relocation of sites. Our December revenue forecast is approximately flat with September and gross margins returned to the mid-30s percent range. 
 Bookings in the quarter were $12 million as stores' orders were still down. We are winning the business that's out there and we're just now starting to see the order activity for large stores picking up again. That said, there were still a number of significant highlights for the quarter. 
 Our early adopter program for the placement of 10 units of our BioStore III Cryo systems is fully subscribed and proceeding right on schedule, with the first 3 units shipped and installed in September without incident and with considerable praise from our customers. The remaining units are shipping this quarter and we are already receiving valuable feedback from these early trials, so much so that we also received orders for the first 5 commercial systems of the BioStore III Cryo and 20 CryoPod carriers. This is a faster start than we had anticipated as we'd envisioned that our customers would want to wait until we had feedback from our beta test units. Although this first order is modest, it's an indicator of the pent-up demand some customers have to automate their minus 190-degree sample storage platforms. 
 Our investment in the expansion of the FluidX sales channel is paying off as we closed Q4 revenue that was up 40% compared to the same quarter 1 year ago, when FluidX was still a stand-alone company. And in the first full year as part of Brooks, FluidX added 160 new customers, including 33 new customers in Q4. We also announced an equity stake in PharmaSeq, a small innovative company that has developed a silicon-based smart chip that will allow us to have unique tracking of samples at temperatures down to the minus 190 degrees that will be part of our offering for smart sample diagnostics. Together with PharmaSeq, we are jointly defining the next generation of the p-Chip that will be an integrated part of our cold-chain solutions. 
 In terms of outlook, we are quite positive on the reacceleration in the large stores' business opportunities as we have line of sight to several significant wins this quarter. Momentum is building, and our minus 190-degree product offerings, coupled with our minus 20- and minus 80-degree stores, provide our customers with a complete range of capability from a single supplier who is committed and focused to ensure an unbroken and fully documented cold-chain condition for their samples. 
 This brings me to the point where I'd like to introduce the latest and most exciting addition to our Life Sciences business. Today, we announced that we have entered into an agreement to acquire BioStorage Technologies. You can almost tell from the name that it's a perfect fit for our Life Sciences business. BioStorage Technologies is a privately held global company founded in 2003 and headquartered in Indianapolis, Indiana. They are the largest pure-play provider of biological sample management solutions to pharmaceutical and biotechnology companies globally, serving the bio sample storage market, which is anticipated to reach $2 billion by 2018. 
 Today, approximately 20% of the bio sample storage market is outsourced to companies like BioStorage Technologies, and this outsourced portion of the market is projected to grow by more than 15% per year. BioStorage provides comprehensive solutions across the complete life cycle of samples, including collection, transportation, processing, protection and retrieval to disposal. They provide accredited storage management services at their facilities, or depending on customer requirements, will manage samples at customer locations or provide a hybrid model of storage services at both customer and BioStorage locations. 
 Additionally, they've built a powerful sample data management system that integrates information on samples such as sample type, storage location, temperature, quality and sample bioprocessing results from anywhere in the world. Some specifics about BioStorage include: the company manages tens of millions of samples via 6 state-of-the-art bio repositories in North America, Europe and Asia; 3 are BioStorage only and 3 are alliance-based locations; a vast majority of the samples are stored in ultra-low temperature freezers. BioStorage has more than 250 customers, including 17 of the top 20 biopharmaceutical companies. Revenue for calendar '15 is forecasted to be just above $40 million, which is up more than 25% from 2014. We anticipate a similar growth rate again in 2016, and this is already supported by current backlog. The revenue mix is approximately 60% annuity-based services, including multiyear sample storage and sample management. The remaining 40% of revenue is ancillary fee for services business, which include sample preparation and genomic services. This annuity-like business is very attractive as contracts are typically multiyear arrangements. 
 Based on BioStorage's track record of strong customer retention, there is more than $150 million in revenue that we expect over the next 3 years that is already under contract. We are understandably excited about this acquisition as both the services and informatics products are a perfect fit for the capabilities that we already have in our portfolio. The team from BioStorage is exceptional. They have built a tremendous business, they are innovative in their creation of products and solutions, diligent in their service to customers and the industry and successful building a profitable growth business. We look forward to working with them to continue to expand the business. 
 Additionally, there are significant growth synergies to be gained by the combination of Brooks Life Sciences with BioStorage, and we'll look forward to realizing those synergies in the coming years. 
 As noted in the press release, this acquisition is subject to certain customary closing conditions, including regulatory approvals, and we expect to close this transaction in the December quarter. Following the closing, we will be able to provide more color and projections about this business combination. If you'd like to get additional information about BioStorage Technologies and their business, the BioStorage Technologies website contains videos, which give an excellent overview of many of their capabilities. Suffice it to say, we're excited about the value that this combination will bring to our customers, our employees and our shareholders. 
 Now I'd like to give a few comments about our outlook. We're forecasting a drop in our semiconductor revenue that's very consistent with the other critical subsystem suppliers who have already reported. At the midpoint of our guidance, we contemplate a drop of approximately 23% quarter-over-quarter. Almost 1/3 of our drop is due just to our CCS products forecast, which is coming off a very strong Q4. We don't know how long business will be down, but we are positioned for any kind of upturn and will come out stronger than ever. 
 Life sciences revenue will be approximately flat with the September quarter before we begin to see the start of a ramp in early calendar 2016, even without the BioStorage revenue. And based on the operations changes we've made, we do anticipate that we will see an improvement of $1.5 million in operating income for Life Sciences. 
 As I've mentioned before, we are very pleased with the performance we were able to deliver in the fourth quarter. We're beginning to demonstrate the earnings potential of our business. We've taken actions in our Life Sciences business to simplify and reduce our infrastructure while recognizing the unique opportunity to expand our services and sample storage management capabilities by acquiring BioStorage Technologies. 
 We are incredibly bullish about 2016. We will be up immediately whenever the semi business turns more positive, and we're on a path in Life Sciences to have a sizable and profitable business that is not only a substantial growth engine for the company, but one that will also be able to stabilize some of the variability that's inherent in the more cyclical semi business. 
 That concludes my prepared remarks, and I'll now turn the call back over to Lindon. 
Lindon Robertson: Thank you, Steve. Please refer now to the PowerPoint slides available on the Brooks website under our Investor Relations tab. 
 I draw your attention to Slide 3, which is a consolidated view of our operating performance to start the remarks. Top line revenue increased 1% sequentially to $146 million. Gross margins improved again this quarter to exceed 37% on a non-GAAP basis. These dynamics expanded the operating margin to 10%. With additional benefits in the tax line from discrete items, net income and EPS grew 11% on a non-GAAP basis. 
 Let's now look at our segment revenue, briefly outlined on Page 4. The sequential growth this quarter was driven by 6% growth in our Global Services line, with an increase in repair services. Life Sciences also provided growth of 2%, driven by delivery of large systems. Brooks Products Solutions declined 1% in total, but there were some moving parts under the covers. So let's turn to Page 5 and look deeper at the Product Solutions segment. 
 Steve mentioned Contamination Control Solutions growth of 53% pushed that business line to $17 million in the quarter and $44 million for the year. Customers operating in nodes below 20-nanometer find Contamination Control to be one of the critical dependencies for yields. We saw an offsetting decline in the quarter for sales of Automation and cryogenic products. In terms of the end markets, this decline was most notable on the 200-millimeter fabs, which had previously climbed through the fiscal year. The gross margin of the Product Solutions business increased 120 basis points from the prior quarter, reflecting improved operational cost and absorption of fixed cost, along with some improved mix. 
 You can see on Page 6 that our Global Services revenue increased 6% from the prior quarter. This was driven by that increased repair services, seen mostly North America and Europe this time. The growth supported improved services utilization and gross margin improvement of 190 basis points to 37.5% in the quarter. 
 Turning to Page 7. Life Sciences revenue grew 2% from the prior period, driven by large systems. The gross margin slipped as we experienced increased cost in the transition of manufacturing from Poway to Contract manufacturing. We completed the planned restructuring and we remain on track to see significant reductions of those structure as we leave the fourth quarter. As indicated last February, our plan was to reduce $1.5 million on a quarterly basis in the structure of our store systems business by the end of the fiscal year. We have reduced the cost of the systems and instruments business by more than $1.5 million. As Steve noted in his remarks, we shipped our early adopter evaluation units of the new BioStore Cryo III and we took new orders in the quarter. For clarity, we did not book any revenue on this new product in this quarter that will begin in the upcoming quarter, and we see this as a promising line for growth in the years to come. 
 Bookings in Life Sciences were $12.4 million in the quarter. Total backlog is now $40 million, while the 12-month backlog is valued at $30 million. 
 Let's turn to Slide 8 to see the cash performance and what we have done with our cash this year. Operating cash flow for the fourth quarter fiscal 2015 was $22 million and the full year was $44 million. This annual cash flow benefited from the healthy adjusted EBITDA, with an increase of 41% year-over-year. Working capital was a use of cash as a result of less deferred revenue in the Life Sciences business with fewer bookings. The other operating items basically reflect the payments for restructuring and taxes in the year. 
 Now to review where we used this cash this year. CapEx was $16 million for the year. In the fourth quarter, we followed through on purchasing a leased building for $8 million. We committed this purchase option 1 year ago and it's not our strategy to own buildings, but this provides us flexibility with our campus here in Chelmsford going forward. Aside from this purchase, we had $8 million of other capital expenditures for operations. This brings cash flow for the year to $28 million. From this, we paid $27 million to shareholders in a quarterly dividend through the year. We also made 2 strategic acquisitions for a total of $23 million. Last October, we acquired the FluidX consumables business in the Life Science segment. In this past quarter, we acquired Contact, a Japan-based contamination control provider. Each of these build our portfolio for growth. And we provided $5 million of financing for our BioCision partners, which have aided us in developing the CryoPod carrier for ultra-cold sample management. So we finished the fiscal year with a balance of cash, cash equivalents and marketable securities of $214 million. 
 Turning to Page 9, you can see the strength of the balance sheet. In the year, we improved inventory turns to 3.6 and DSO improved 4 days to 56 days this year. 
 Turning to Slide 10. We provide a summary of our annual operating performance. It was a terrific year for us. Revenue increased $70 million or 14% compared to 2014, 41% growth in EBITDA, and non-GAAP operating income increased 76% to $37 million and the EPS went to $0.45 per share. 
 Let's turn on to Page 11 for a segment view of the year. The source of strength in the year was clearly driven by the sales to support semiconductor manufacturing. Revenue grew 20% in Product Solutions and 8% in Life Sciences, while Global Services revenue showed stability and was flat year-over-year. Operating margin expansion was supported by improved margins in Product Solutions and Global Services. 
 Slide 12 is a summary of some of the key milestones we committed to you at the beginning of fiscal '15. As Steve discussed, we achieved many of these milestones in what was a pivotal year for Brooks Automation. Key wins in the semiconductor business is what feeds the business for the coming horizon. Each win is important for the growth. In the year, the recently acquired businesses performed quite well and quickly became accretive to our non-GAAP EPS. 
 Turning on to Slide 13. We're excited about the newest addition to Brooks. BioStorage Technologies fits perfectly with our offerings and provides increased market access to our existing business. It expands the steady service business and provides a positive profit contribution quickly to the bottom line on a non-GAAP basis. We anticipate closing this in December and providing more details as we close the first fiscal quarter. 
 Slide 14. We provide our guidance estimates for the first fiscal quarter of '16. Revenue, as Steve mentioned, will be down, but expected to be in a range of $110 million to $117 million. Our earnings per share at this level is projected to be approximately breakeven. 
 That completes our prepared remarks. I will now turn the call back over to Cersei to take questions from the line. 
Operator: [Operator Instructions] Our first question comes from the line of Patrick Ho with Stifel, Nicolaus. 
Patrick Ho: Steve, maybe first for you. Since you've seen many of these semiconductor cycles and you've lived through many of them, from a Brooks perspective, you noted that you're ready to turn whenever your customers turn. What are some of the tactics that, I guess, Brooks has taken over the years? How do you manage the supply chain? And what gives you confidence that if the industry suddenly turns positive, that you guys will be ready to meet customer demand? 
Stephen Schwartz: Yes. Hi, Patrick, thanks. We've -- as you know, I think everybody's tooled the supply chain to be able to react on really short notice. And part of the need for the equipment makers to be able to react quickly is that they give us advance forecast to the best of their knowledge, probably more so than they had at any other time. So we have a really good look in terms of short cycle, both with our suppliers. Our customers understand how much lead time we need. And so they're generally able to give us that information in advance. One of the other things that transpired, particularly with the Tier 1 OEMs, is that, that you keep some inventory. And so they have some kanban capability that we supply and keep filled on a regular basis per their instruction. And so they're allowed to accelerate -- they're able to accelerate, if you will, before we can necessarily turn the whole supply chain on. But generally, it fits together. So all of us are linked that way. I think the relationships from the IC makers, all the way down to our sub suppliers are aligned around short cycle and -- that everybody's worked on over the last 5 years. And I think it's become pretty efficient. 
Patrick Ho: Right. That's helpful. And maybe one Life Science question related to your BioStorage acquisition announced today. One of the things you've talked about is leveraging a lot of the different acquisitions you made like FluidX on the consumable side with the storage systems business you have. Can you give a little bit of color of how the consumables aspect at FluidX can be leveraged with this acquisition? 
Stephen Schwartz: Yes, Patrick. And that's one of the areas that we see as a tremendous opportunity for synergy here. There hasn't been a push from the BioStorage team's standpoint necessarily to enforce one type of consumable over another. We think that the things that we're doing with PharmaSeq, we think the things that we're doing to improve the sample density and the packing density will enable the combination of Brooks and BioStorage to have offerings expanded to the customers. So in other words, our ability to do some types of events tracking at ultra-low temperatures and the ability to use the maybe higher-density FluidX consumables will provide a benefit to the current customers. So just on a consumables front, we believe that there are tremendous opportunities for synergy. It will take us some time to get there, but the 2 teams will be engaged very shortly on how to do that together. And then beyond that, a lot of the storage -- the storage actually done by BioStorage today is in manual freezers when they do a sample freezing. And we think there are opportunities as well from an Automation standpoint to expand the offering to customers that include both manual freezers and the automated stores that are in our product portfolio. 
Operator: Our next question comes from the line of Jairam Nathan with Sidoti. 
Jairam Nathan: I just wanted to get information on the BioStorage Technology. So are they -- I'm trying to understand where they are in the supply -- on the chain. So are they a customer of yours in the sense they provide outsourced sampling storage? 
Stephen Schwartz: They're a services provider, Jairam, so they're not a customer of ours. But we have the same -- we share the same customers, if you will. So as we mentioned, that 17 out of the top 20 biopharmaceutical companies are customers of BioStorage and in the past, we've explained to everyone that all 20 of the top pharmaceutical companies have our automated cold stores. But the services that are provided by BioStorage include all sites from some of these large companies. And so they're -- it's actually a deepening in the expansion of the current customer base for both of us when we talk about the big pharma companies. 
Jairam Nathan: Okay. And just back to the orders, you said you've got about, from -- for BioStorage III, so you said there were 5 system orders and 20 for the pods. And are they in your backlog -- in your order, the $12.4 million order? 
Lindon Robertson: Yes, that's in the backlog. We have not recognized any revenue and the delivery schedule is done in the future. But we will recognize some revenue in this first coming quarter. 
Jairam Nathan: Okay. And so what's the -- like is the difference between the pods and the systems that is -- is it the way the revenue is split between Brooks and your JV partner? 
Lindon Robertson: Yes, so our sales right now would be an integrated sale. So -- but I would just emphasize to you right now, we'll give you more specifics after we disclose the first quarter actuals on that. And so we have flexibility to make these sales either path, whether it's an integrated sale, or if it's through the channel that our partner chart helps to manage. 
Jairam Nathan: Okay. And last question regarding the -- your balance sheet here. So you have $240 million and you would be paying out $127 million or so. So are you comfortable with the balance, cash balance, especially going into a downturn? And is there additional liquidity around? 
Lindon Robertson: We're really comfortable, Jairam. It's a great question. And we've been a consistent generator of cash and we expect that to continue. It doesn't mean that we don't look at a potential for a credit line or taking on some debt. So that's a potential. We look at that scenario on a continuous basis. And we're still -- as we acquire more cash, we also look to make more strategic investments for our shareholder and for building our business. So those are all possibilities. But at this point, if you ask me, am I comfortable right now with our cash balance the way we're defined today? We're absolutely comfortable. 
Operator: Our next question comes from the line of Edwin Mok with Needham & Company. 
Y. Edwin Mok: So first, just a quick -- I guess 2 housekeeping questions, your guidance does not include BioStorage, right? Is that correct? And also, what do you say the revenue was for BioStorage, not last year but the year before that? 
Lindon Robertson: Yes. Edwin, you're absolutely right. We've not included anything in our guidance for BioStorage. And this past year, the past 12 months was about $40 million of revenue for them. 
Y. Edwin Mok: And I think you guys provided some comp. You said that they were growing at a certain rate. What was the growth rate? 
Lindon Robertson: Yes. We're seeing a growth rate that's better than 20% growth rate for them on an annual basis. 
Y. Edwin Mok: So yes, if I can focus on that number a little bit. You said that there is $150 million worth of a multiyear contract that could be over the next 3 years. And if I use the 50 -- 60% of your revenue coming from those contract as a baseline, it seems like that's a really big number versus the $40 million number that they had reported last 12 months and imply a much higher growth rate than 20%. Can you help me reconcile those maths? 
Lindon Robertson: Like I said, it's better than 20% growth rate. We will give you more details, but you're reading it correctly. We hedge just a little bit, but we're really bullish on what that -- what's already under contract and then we can build as even in this coming quarter as we pick them up. So as we close this business, honestly, you can look back over the last 12 months. That's key for us, but our diligence looks deep into the backlog, into the customer relationships and under the contract. And I'll just add to that, Edwin. One of the significant attributes of this business is its services and the stickiness, the loyalty to that revenue streams, the customers. So once the customers put them in to storage, they've loved the company, the service that they provide. It's not all about storage, it's about other services that they provide, including transportation and management and the retrieval of the samples. So all of these are opportunities for the company to generate the revenue stream. But it's a really, really steady repeatable and growth business. So as you add a customer, you keep that customer generally. It's very unusual for somebody to step away. 
Y. Edwin Mok: Great. That is good color. And one last question on BioStorage. Just if I look at that acquisition, also FluidX, right, and then there's clearly some synergy between that and your sample storage equipment business that you guys have. But it seems like the Life Science business is going to be more, like I would say, more about service and consumable and less about capital equipment sale. Is that -- you guys have been working on this for a few years. Is that kind of like the direction that you feel the business is going and that's why you guys are making this acquisition, and that's the direction that you see, where the growth will come from? 
Stephen Schwartz: Edwin, absolutely. We do believe that's the case. But we've also constructed the hardware, as you say, to be enabling in this regard. So the automated sample stores, our ability to define consumables that particularly ensure the safety of the samples and economic storage of the samples is extremely important. But we've been building out along this cold chain of condition, but we do consider the tools that we provide to be enabling, and among those, especially our ability to expand the offering for the storage and sample management for tissue and cells and things that need to be stored below minus 150-degrees C. So these are enabling technologies that we want to add into the services business. The bulk of the services business today is at storage around minus 70- or minus 80-degrees C. And we think to expand the opportunity with the services included for the extremely cold temperatures down below minus 150 is an expansion opportunity that will be enabled by the hardware products that we brought to market. 
Y. Edwin Mok: That's actually extremely helpful. Going back your cold -- semicon business, I have 2 questions. First is why is CCS down so much in the December quarter? I mean, if 1/3 of your decline come from CCS, that imply a $5 million, $6 million revenue rate for -- in the December quarter. And how do you see that business as you go through calendar 2016? 
Stephen Schwartz: Sure. I'll help you with the arithmetic a little bit. The CCS business is down a lot because it was certainly up a lot in the fourth quarter. And we shifted into the 16-nanometer and 10-nanometer lines. And so we had foundries that took a lot more product in the fourth quarter and they're down in the December quarter. That's the bulk of the difference. And so we're talking about going from approximately $17 million in that business to something in the $8 million to $9 million range in that business, 1 quarter over the next. 
Y. Edwin Mok: I see. Okay. Great. And then lastly on the semicon business. Steve, like Patrick saying, you've been through a few of these cycles, and I wanted to kind of get your sense about where customers are right now. Are you seeing them reducing inventory of your hardware, resulting in discount? I mean, you guys aren't the only one, but I've got reporting I have 30%-type sequential decline in your semicon business. And do you see that normalizing as you get into the first half of '16 or calendar first half of '16? 
Stephen Schwartz: Yes. I suppose. We don't -- and we don't think of it so much as the amount of the inventory because they don't -- our customers don't -- during these times, maybe they burn off a little bit. But we actually look at the shipments by our OEM customers, not their revenue. So if an OEM reports revenue down 10%, but shipment is down 20%, you -- our indicator is the shipments from those customers. So revenue comparisons are sometimes a little bit difficult because the pattern of our business is different. So there's some inventory probably, but their forecasts are just generally down and then we cut back production to meet the forecasts that they have. 
Operator: [Operator Instructions] Our next question comes from the line of Farhan Ahmad with Crédit Suisse. 
Farhan Ahmad: I have a question on BioStorage. Can you talk about what is the operating and gross margin profile of the business? And if you could provide some quantification around the synergies that you expect. 
Lindon Robertson: Yes, Farhan, I really appreciate the question, but at this point, we don't -- we haven't picked them up in and we're just not going to guide on the operating structure right at this point. We have offered to you that they will be accretive very quickly for us as we pick them up. And if you were -- I'll share this, I'll add the color of this, that the margins there we're picking the company up at today are very comparable to our total Brooks margins and that we would expect some improvement in that on the gross margin, but obviously, a lighter structure, and it will be accretive as we pick them up. 
Stephen Schwartz: And Farhan, in terms of the synergies, that's going to take the time when our teams get together. We have some ideas about the synergies, but until we get together with the BioStorage team and work those out together, it would be premature to communicate. But by the time we're on the call next quarter, we'll be able to give you some very specific thoughts on that. 
Operator: Mr. Schwartz, there are no further questions at this time. I'll turn the call back to you. 
Stephen Schwartz: Okay, Cersei, thank you. And thanks, everyone, for your interest in Brooks. We look forward to speaking with you when we report the results from our fiscal 2016 first quarter. Thanks very much. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.